Executives: Katie U. Cook - Director-Investor Relations James A. Squires - Chairman, President, and Chief Executive Officer Alan H. Shaw - Chief Marketing Officer & Executive Vice President Michael Joseph Wheeler - Senior Vice President-Operations Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance
Analysts: Allison M. Landry - Credit Suisse Securities (USA) LLC (Broker) Alexander Vecchio - Morgan Stanley & Co. LLC Thomas Wadewitz - UBS Securities LLC Scott H. Group - Wolfe Research LLC John Barnes - RBC Capital Markets LLC Chris Wetherbee - Citigroup Global Markets, Inc. (Broker) Brandon Oglenski - Barclays Capital, Inc. Matt Troy - Nomura Securities International, Inc. Robert H. Salmon - Deutsche Bank Securities, Inc. Bascome Majors - Susquehanna Financial Group LLLP Jason H. Seidl - Cowen & Co. LLC Kenneth Scott Hoexter - Bank of America Merrill Lynch Justin Long - Stephens, Inc. Cherilyn Radbourne - TD Securities, Inc. John G. Larkin - Stifel, Nicolaus & Co., Inc. Jeff A. Kauffman - The Buckingham Research Group, Inc. J. David Scott Vernon - Sanford C. Bernstein & Co. LLC Patrick Tyler Brown - Raymond James & Associates, Inc. Cleo Zagrean - Macquarie Capital (USA), Inc. Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker)
Operator: Greetings and welcome to the Norfolk Southern Fourth Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Katie Cook, Director of Investor Relations. Thank you. Ms. Cook, you may now begin.
Katie U. Cook - Director-Investor Relations: Thank you, Kristine, and good morning. Before we begin today's call, I would like to mention a few items. First, the slides of the presenters are available on our website at norfolksouthern.com in the Investors section. Additionally, transcripts and downloads of today's call will be posted on our website. Please be advised that during this call, we may make certain forward-looking statements. These forward-looking statements are subject to a number of risks and uncertainties, and our actual results may differ materially from those projected. Please refer to our Annual and Quarterly Reports filed with the SEC for a full discussion of those risks and uncertainties we view as most important. Additionally, keep in mind that all references to reported results excluding certain adjustments, that is non-GAAP numbers, have been reconciled on our website in the Investors section. Now, it is my pleasure to introduce Norfolk Southern, Chairman, President and CEO, Jim Squires.
James A. Squires - Chairman, President, and Chief Executive Officer: Good morning, everyone, and welcome to Norfolk Southern's fourth quarter of 2015 earnings conference call. With me today are our Chief Marketing Officer, Alan Shaw; our Senior Vice President Operations, Mike Wheeler; and our Chief Financial Officer, Marta Stewart. Mark Manion is also with us for his last analyst call after a very successful career. Mark has been instrumental in helping cultivate the best employees in the industry. He has also been at the forefront of promoting safety programs, as a critical component of a well run business. Mark, thank you for your devoted service. With Mike Wheeler's assumption of the Chief Operating Officer role on February 1, our senior leadership transition will be complete. Since last June, when I took the reins as CEO, my team and I have been single-mindedly focused on shareholder value. We have responded to a dynamic marketplace and changes in the economic landscape by driving change, while building on Norfolk Southern's strengths. In conjunction with our leadership transition, we have already completed many key initiatives, while simultaneously launching a new five-year plan, centered on disciplined cost control and profitability to produce sustainable returns for shareholders. I'm eager to share details regarding our team's plan, but first, I want to briefly address the fourth quarter and full year results. 2015 was marked by weak commodity markets and the strong dollar. That had an adverse impact on Norfolk Southern and the railroad industry as a whole. Norfolk Southern earnings for the fourth quarter were $1.20 per share, which was 27% lower than last year's $1.64 per share. Earnings for the full year were $5.10 per share, which was 20% lower than last year's record of $6.39. Alan, Mike and Marta will go into more detail on this shortly. It is against this challenging macroeconomic backdrop that our team has aggressively executed on a number of key initiatives to build a strong foundation for sustainable shareholder value creation. The core of our strategy is this, maintain a high level of service to promote operational efficiency and growth, while rightsizing resources to reflect the changing nature of our top line. Here are just a few of the things my team and I have already done to further this strategy. First, we return service to previous high levels, supporting cost control, asset utilization and growth. Second, we took action on G&A, closing and putting up for sale our office building in Roanoke, Virginia, while consolidating or relocating approximately 500 back-office jobs. We also streamlined senior management, eliminating three senior management positions. Third, we restructured an underperforming subsidiary, Triple Crown to sharpen our intermodal strategy and boost profit. Fourth, we completed the acquisition of the Delaware & Hudson South, giving us full operational control of an important network segment in the Northeast. The transaction has been well received by our customers. Fifth, we cut capital spending by $100 million last year to adapt to the shifting economic environment, and we are committed to reducing it further if necessary. And sixth, reacting to changes in our coal business, we completed an initial round of line rationalizations in the coal fields, the closure of a major coal terminal and the consolidation of two operating divisions in West Virginia and Virginia. Now let's turn next to the elements of our strategic plan beginning on slide five. This plan begun on June 1, 2015 when I became CEO and announced on December 4, is the result of a comprehensive evaluation of our business model, in particular our cost structure and top line growth potential. The plan is built on disciplined cost control and asset utilization. It is also designed to generate over time revenue growth through pricing and increased volume in service-sensitive markets where we have made significant investments and having well established market presence. The plan is dynamic allowing us to evolve as required given an ever-changing world. Overall, we expect to achieve annual productivity savings of more than $650 million by 2020, growing from an initial $130 million in 2016, by improving the consistency and reliability of our service and running a faster, more efficient railroad. Turning to our revenue plan on slide seven. Well, our expectations are modest for 2016. Revenue growth from pricing and volume increases is one component of our strategic plan. We have been deliberate in our analysis, developing a detailed bottom up roadmap to growth over the next five years. The plan is conservative and flexible in nature and gives us the ability to adjust to changes in the economy. Slide eight shows that over the five-year period, we expect revenue per unit to grow approximately 2.5% on a compound annual basis through 2020, supported by pricing levels exceeding CPI. Consistent with our past experience, volume will grow relatively in line with GDP as growth in intermodal and other consumer-oriented products offsets coal headwinds. Turning to slide nine, I will now detail our expert expectations for each major revenue group. We expect coal volume to decline in 2016 and then stabilize. Overall our core forecast is more conservative than estimates from the Department of Energy and other independent experts. We believe growth in our merchandise lines of business will attract the economy overall, increasing generally in line with GDP. And we are calling for intermodal volume to increase at a rate better than GDP, with compound annual growth of about 4.5%. This will be driven primarily by tighter truck capacity and improved domestic service levels. It will also reflect our close alignment with international steamship lines that are adding capacity in Norfolk Southern-served markets as they shift from West Coast to East Coast ports. Now turning to our expense reduction and cost control plan. As you see, on slide 11, our strategy is to provide industry leading service to drive the operating ratio lower. We are committed to achieving a sub-65% OR by 2020, but we won't stop there. Once we achieve this initial goal, we intend to take our operating ratio even lower by focusing relentlessly on four things: head count, locomotive productivity, fuel efficiency and our network footprint, all while supporting quality service for our customers. Moving to slide 12, the current backdrop of low commodity prices and a strong U.S. dollar has created significant headwinds that affected 2015 results across our industry. Our plan will help offset some of these headwinds, actively managing to market dynamics, both downside and upside, in a timely manner. Right now, given current market dynamics, we are aggressively bringing down over time, head count and our locomotive fleet size. We are also pushing on fuel efficiency, closing or scaling back operations in yards and terminals and rationalizing secondary lines. All of this is being done, so that we can achieve target levels of profitability while maintaining strong service, and the potential for future growth. Even given challenging future market conditions, we believe we can achieve a sub-65% operating ratio by 2020. We have the right team and the right plan to address the current headwinds and deliver superior value as we move through 2016 and beyond. With our improved service, we have achieved a faster railroad, specifically year-over-year we achieved a 17% improvement in train speed, and a 21% improvement in terminal dwell. These improvements across our network will lower costs while enhancing our service offering and the value of our product. A faster railroad is, simply put, a more profitable railroad. Turning to slide 14, our plan is designed to optimize resources and accelerate growth through a variety of disciplined expense control initiatives in compensation and benefits, purchase services and rents, materials and fuel. We expect to achieve annual expense savings over $650 million by 2020, growing from an initial $130 million in 2016. Starting with compensation and benefits, service improvements, traffic shifts, network rationalizations and cutbacks in yards and terminals will enable Norfolk Southern to reduce head count in 2016 and beyond, building on initiatives we began in 2015 to right size the network. We expect this to result in annual productivity savings of $420 million by 2020. Now to purchased services and rents. We are projecting annual savings of $70 million by 2020 through reduced equipment rental and lease costs, lower payments for third-party switching, leveraging the recent expansion of Moorman Yard in Bellevue, Ohio and lower trackage rights and haulage payments. As you can see on slide 15, we expect materials to deliver approximately $80 million in annual savings by 2020 through more productive locomotive maintenance programs and replacement of older, less reliable locomotives. And finally Norfolk Southern plans to cut fuel expenses by approximately $80 million per year by 2020 through rationalization of our locomotive fleet and full implementation of fuel management technology. In conclusion on slide 16, we believe we have the right strategic plan to streamline operations, accelerate pricing and growth, and enhance shareholder value. The plan leverages our core competency in providing fast efficient service, while improving network efficiency and consolidating operations. Importantly, through disciplined cost control, we believe we can achieve the expense reduction goals outlined in this plan and even more. To be clear, if market conditions worsen more than anticipated, our plan has flexibility built into it so that we can achieve additional cost savings. We are also committed to a capital allocation strategy that returns significant capital to shareholders. Over the past 10 years, Norfolk Southern distributed nearly $15 billion to shareholders through share repurchases and dividends that increased steadily at a 17% compound annual rate. Our plan targets a dividend payout ratio of 33% over the longer term and share repurchases using free cash flow and borrowing capacity. I'll now turn the program over to Alan, Mike and Marta, who are just as committed as I am to successfully executing our plan. They will provide more details on our 2015 results and our 2016 outlook and I will then return with some closing comments before taking your questions. Alan?
Alan H. Shaw - Chief Marketing Officer & Executive Vice President: Thank you, Jim. Good morning to everyone and thank you for joining us today. I would like to begin by expressing our commitment to the growth plan, Jim just reviewed. It is a multi-dimensional sustainable plan with a focus on a differentiated service product that the market values, driving pricing and volume growth while improving shareholder return. Moving to slide two. I'll provide some perspective on our 2015 top line performance. Annual revenue of $10.5 billion declined 10% compared to 2014, with fuel surcharges and coal accounting for the decrease. Fuel losses of $852 million were the result of decreased oil prices. This negative comp will sharply decline in the first quarter, as January 2015 was the last month West Texas Intermediate exceeded the average fuel surcharge trigger point. Overall, 2015 was a challenging year with low commodity prices and strong U.S. dollar conditions, which consistently deteriorated each quarter and largely continued unabated. Despite this environment, we did experience upside revenue growth in our merchandise and intermodal markets, excluding fuel. We also posted record revenue in our agriculture franchise and record volume in both chemicals and intermodal. On slide three, our fourth quarter results were impacted by decreased fuel surcharges, low commodity prices, unseasonably warm weather and high retail inventories. Volume declined in all three of our major business segments. Reduced fuel surcharges and co-revenue combined for 84% of our overall revenue decline. Despite these challenges, positive pricing offset the negative mix impact of several commodities, driving sequential growth in RPU less fuel for each of the last five quarters. Moving to coal. Warm weather and lower natural gas prices resulted in declines in utility coal shipments. Export coal met our 3 million ton guidance for the quarter, but continued to be challenged compared to prior year due to global oversupply and the strong U.S. dollar. Our first quarter target is 2.5 million to 3 million tons, with the added uncertainty in the market. Excluding fuel, RPU increased for coal due to positive pricing and increased longer haul utility volume in the South. Slide five depicts the record high temperatures in our service area that impacted utility coal shipments later in the quarter. In the second quarter and third quarters, our utility coal volumes met guidance and had settled into the low natural gas environment. Similar volume trends existed in October and November; however the warm weather significantly decreased December deliveries. Stockpiles are 40 days above target, which we anticipate will reduce first quarter volume to 15 million tons. The inventory overhang is projected to continue into the second quarter, once stockpiles return to target. We project utility volumes in the range of 17 million to 19 million tons per quarter, assuming normal weather patterns. As we turn to intermodal, we've restructured our Triple Crown franchise, effective November 2015, with business winding down earlier in the quarter, as customers implemented alternative plans before the effective date. This equates to 4% in volume decline and 6% in revenue decline for intermodal. While the Triple Crown restructure will have a negative impact on both volume and revenue in 2016, it will be accretive to our bottom line and improve capital utilization. Excluding Triple Crown, intermodal fell 1% for the quarter. This decline can largely be attributed to increased truck capacity and high retail inventory levels. As the quarter progressed and service was restored to previous high levels, we experienced volume gains in some key accounts. These improvements will have a positive impact on our domestic franchise moving forward. Lastly, pricing gains throughout the year increased revenue per unit by 4% when excluding Triple Crown and fuel. Consistent improvement in contract pricing creates confidence that this trend will continue and is supportive of our growth plan. Our merchandise markets were impacted by low commodity prices, a strong dollar and high inventory levels, reducing demand for metals, export grain, crude oil and lumber. On a positive note, automotive posted a 9% increase in the quarter exceeding North American vehicle production growth. We also experienced strong growth in natural gas products, as well as ethanol. Losses in higher rated commodities created a negative mix impact on RPU. However, strong pricing led to RPU less fuel growth of 2%. NS volumes as reported to the AAR, declined by 6.7% in the fourth quarter in line with other Class I's. Eliminating the impact of the Triple Crown restructuring. NS volume declined 5% during this period. Concluding with our outlook, the impact of the warm weather on our coal franchise, on certain commodity prices and continued high retail inventory levels, create headwinds for volumes particularly in the first quarter. Coal volumes will be impacted as utilities work down high stockpiles. Commodity price declines and foreign exchange pressures will affect our merchandise franchise. Volumes in our intermodal franchise will be impacted by the Triple Crown restructuring. Although, improved service and reach will benefit our conventional intermodal and automotive networks, pricing increases accelerated throughout 2015, with the strongest pricing in the fourth quarter benefiting our top line through 2016. The impact of lower fuel surcharge will subside in early 2016, and we are actively converting to programs with less variability and greater alignment to expenses. Our longer term objectives include the continued diversification of our traffic base, a key to maintaining a strong franchise. Service-sensitive business is Norfolk Southern's fastest-growing segment is evidenced by our automotive and intermodal franchises, which grew at a 7% CAGR excluding Triple Crown over the last five years. We have the best-in-class network and with return to service levels, we expect volume growth in these markets, mitigating some risk associated with commodity-based products. Domestic intermodal will benefit from our service product and increased regulations in the trucking industry. International intermodal will grow as a result of our network reach and our alignment with shipping partners adding capacity on the East Coast. In conclusion, a balanced franchise, disciplined market base pricing and an improved service product allows our management team to aggressively respond to a changing economic environment. We are confident in our pricing and volume growth plan, developed in concert with operations for our customers and their specific service needs and the unique market opportunities presented by our network. Collectively we manage this flexible plan to adjust resources as volume levels fluctuate to drive targeted financial results. Next, Mike will describe our improved service levels, which increase the value of our product and generate volume growth.
Michael Joseph Wheeler - Senior Vice President-Operations: (24:16-24:25) substantial improvement (24:25-24:29) in 2015. Today we are taking the next step in strengthening our company from an operational and financial perspective. Let me begin with one of our core principles on slide two, which is involved in all of our decisions, safety. We achieved a 14% decline in reportable injuries and even more importantly, a 19% reduction in serious injuries over 2014. We're proud of our position as an industry leader in safety and our commitment to safety will not waiver. Turning to service on slide three, another of our core principles. As laid out here, our composite service performance continued to improve throughout the fourth quarter. Importantly, the performance of this comprehensive metric remained strong into the first quarter of 2016, positive change is underway. Our goal is to maintain this level of service, which we believe provides the optimal balance between delivering a high service product to our customers, while running a low cost operation. We are confident we can continue to provide this level of service, as we implement our strategic plan to run more efficient and more profitable railroad. On a recent service note, NS achieved our most successful peak season ever for our premium accounts with respect on-time performance and total volume handled. Looking to slide four, we continue to deliver significant improvement in our train speed and terminal dwell metrics, which are leading to improvements in our locomotive availability and efficiency of our car utilization. Specifically, year-over-year for the quarter, we achieved a 17% improvement in train speed and a 21% improvement in terminal dwell. As we've said before a faster railroad is a less expensive and more profitable railroad. These improvements will translate directly into cost reductions, increased revenue and improved margins. And as a result, increase value for our stakeholders, including better service for our customers. (27:11-27:17) increased our focus on using our existing resources for the (27:19-27:23) near our historic high service levels, we will continue to right size our resources, implement (27:31-27:58) productivity savings from our better service and efficiency initiatives in 2016. The five-year plan was developed by my team and we are committed to delivering results. On slide six, we have continued the process of rightsizing our manpower to match the current environment, while the majority of these reductions have also taken the form of furloughs in the Transportation Department. We have also taken steps within our engineering, mechanical and network and service management departments. On the locomotive side, aided by both our high velocity and an industry-wide reduction in volumes, we are currently storing high-adhesion road locomotives, and in addition, have removed units from our yard and local fleet. We did this through rightsizing against current volumes and fine tuning our local operating plan. We are also progressing with our DC to AC rebuilds, which will allow us to replace our aging Dash 9 locomotive fleet at a significant discount purchasing new locomotives. We anticipate these reductions in our fleet to lead to lower maintenance and repair costs, while reducing future capital requirements and improving the reliability and fuel efficiency of our locomotive fleet. As Jim outlined for you earlier on the call, and as you can see on slide seven. We are also taking a disciplined approach to reducing our operating costs. We recently announced that we are combining our Pocahontas and Virginia Divisions, which will reduced a number of operating divisions by close to 10% and will result in a reduction of division level supervision and back-office functions. We are also progressing with our plans to reduce from three operating regions to two. We are adapting rapidly and consistently. We are also idling our Ashtabula, Ohio coal terminal and we'll concentrate our Lake coal volumes at our Sandusky, Ohio coal terminal. We have however, retained all the business as part of this move. As mentioned in our last earnings call, we are continuing to rationalize investment in coal routes in Central Appalachian. We are ceasing operation on portions of our West Virginia Secondary between Columbus, Ohio and Charleston, West Virginia, which will result in a 250 mile reduction in maintained right-of-way. In all, we will rationalize our secondary line network by 1,000 miles this year and 1,500 miles by 2020. In closing, I want to emphasize that we are laser focused on ensuring Norfolk Southern has the most efficient and appropriate operating plan, which will streamline operations, while driving growth and profitability. With that, I'd like to turn the call over to Marta to walk you through the quarter's financials.
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: Thank you, Mike. And good morning everyone. Slide two summarizes our operating results compared to last year's record setting quarter. As Alan already discussed, revenues declined by $352 million or 12% as a result of the lower fuel surcharge revenues and lower volume. Operating expenses decreased by $103 million or 5% aided by continued low fuel prices, but partially offset by restructuring cost. The net result was a $249 million or 28% reduction in income from railway operations and a 74.5% operating ratio for the quarter. Restructuring costs added 2 points to the operating ratio. As was the case in every quarter of 2015, fuel prices had a significant impact on our operating results and so we've summarized the net change on slide three. Taking a look at the top of the slide, the line graphs reflect the comparative WTI prices for 2014 and 2015. As you would expect, the quarters with the biggest gap had the largest reduction in fuel revenue. Also note that we were below most of our WTI base trigger points throughout 2015. Looking ahead to 2016, the forward curve projection for WTI is well below out most common trigger point of $64 a barrel. So the remaining on-highway diesel base surcharges should correlate more closely with our fuel expense this year. Now, let's take a look at operating expenses. I'd like to pause here and note that our team has been aggressively seeking to reduce to operating costs, while maintaining a well run service oriented railroad. We've taken specific actions to reduce cost in the near-term, and will continue to reduce cost in a manner consistent with the five-year plan Jim described earlier. In the fourth quarter, we decreased expenses by $103 million. Most of the decline was due to price as I just discussed, and we also had net reductions in purchase services and in compensation and benefits. These reductions were partially offset by increases in depreciation and in materials and other. Before we look at the specific expense line items, let's turn to an update on restructuring cost. Slide five summarizes the expenses which are related to the significant downsizing of our Triple Crown operations and to the closure of our Roanoke regional offices. The net effect of these costs reduced fourth quarter results by $0.10 a share. As shown on the following slide, our restructuring efforts had a significant impact on depreciation expense amounting to $37 million and resulting from the disposition of over 5,000 RoadRailer units. The remaining $10 million increase is associated with the growth in our asset base. Slide seven breaks up the components of our change in fuel expense. We've already covered the price related component and the consumption decline is related to the drop in traffic volume. As Mike has already explained, we expect our fuel efficiency metrics to improve in 2016. Slide eight depicts purchase services and rents which were down $12 million or 3%, reflecting the November 2015 secession of service in most Triple Crown lanes. As you know, this door-to-door service includes a significant amount of drayage and terminal operating costs, most of which went away after November 15 and accounted for an $18 million reduction. Partially offsetting this decline were the aforementioned restructuring cost and somewhat higher equipment rents associated with the increase in automotive traffic. Looking ahead to 2016, we expect purchase service costs to decline due to the Triple Crown restructuring. Turning to slide nine, we experienced a $12 million or 2% decrease in compensation costs. Lower incentive compensation of $41 million, combined with $13 million of reduced overtime was partially offset by increased pay rates of $13 million, a labor agreement lump sum payment of $13 million and $4 million of severance cost associated with the restructuring. In 2016, we expect continued reductions in overtime as well as a 4% decline in average head count year-over-year. On the other side of the equation, we expect wage and medical cost inflation up about 3.5% and a more normalized level of incentive comps. As shown on slide 10, the materials and other category increased by $27 million or 12%. Casualty claims costs were $20 million higher due to favorable personal injury development in the prior year, combined with case specific accruals required in 2015. Turning to income taxes on slide 11. The effective rate for the quarter were significantly lower at 31.1% versus 35.3% in 2014. This was largely attributable to three factors; the passage of the Tax Extenders Act in late December, which extended certain tax credits, the completion of an IRS audit and the effect of the state tax law change. Wrapping up our quarterly overview on slide 12. Net income was $361 million, a decline of a $150 million or 29% and diluted earnings per share were a $1.20, down 27% compared with the prior year. As a reminder, restructuring costs lowered these results by $31 million or $0.10 per share. Turning our focus to the full year on slide 13. Revenues were 10% lower than those in 2014, and expenses declined by 5%. The resulting income from railway operations of $2.9 billion was a 19% decline, which led to an increased operating ratio of 72.6% and a decrease in earnings per share to $5.10. Restructuring costs lowered these results by $58 million or $0.19 a share and added about 1 point to the operating ratio. Slide 14 summarizes our full-year cash flows. Cash from operations for the year was $2.9 billion, covering capital spending and producing almost $500 million in free cash flow. With respect to stockholders' returns, we repurchased $1.1 billion of stock and paid over $700 million in dividend. In 2016, we plan to resume repurchases at a rate of about $200 million per quarter. Moving on to this year's capital budget on slide 15. We plan to decrease total spending to $2.1 billion, similar to the renewed effort on aggressively managing our operating cost, we're also taking a more disciplined approach to capital spending. We are prioritizing capital allocation to our core network, and to projects that will fuel key areas of long-term growth. We believe this approach will enable the maintenance of high service levels as Mike described, and support the areas where Norfolk Southern will grow in the long-term, thereby maximizing our return on invested capital. As you can see from the pie on this slide, spending on our right-of-way including roadway and infrastructure is roughly in line with recent years, whereas equipment spending is lower. We've reduced freight car purchases, but increased locomotive acquisitions in keeping with the strategy Mike outlined relative to a younger fleet and lower maintenance cost. And with that, I thank you for your attention and I'll turn the program back to Jim.
James A. Squires - Chairman, President, and Chief Executive Officer: Thank you, Marta. As you've heard this morning, our results reflect the current challenges in domestic and global markets, but looking to 2016 we are poised to achieve significant annual expense savings without compromising the company's ability to secure volume and revenue growth opportunities. We are executing a clear strategic plan to drive profitability and growth, and we expect to achieve an operating ratio below 65% by 2020. As a management team, we have the right people in place to deliver superior shareholder value through execution of our strategic plan. Before we move on to the Q&A portion of this call, I want to address recent developments with respect to Canadian Pacific. As you know, our board of directors has carefully reviewed and rejected three separate unsolicited proposals. The board and management team are committed to doing what is in the best interest of the company and all NS shareholders. That said, I want to ask that you focus your questions on today's call on our fourth quarter and full-year earnings, as well as our strategic plan and the additional information we disclosed today. With that, we'll now open the lines for Q&A. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. Thank you. Our first question comes from the line of Allison Landry with Credit Suisse. Please proceed with your question.
Allison M. Landry - Credit Suisse Securities (USA) LLC (Broker): Good morning. Thank you. I wanted to ask about your assumption from mix in the roughly 2.5% revenue per unit guidance that you outlined. So I guess, should we be thinking about pricing in the roughly 3% range and maybe negative impact of mix of about 0.5 point any color you could provide that will be helpful. Thanks.
James A. Squires - Chairman, President, and Chief Executive Officer: Sure. Thanks for the question. I think you have the basic formula about right. I'll turn it over to Alan in a minute. But let me say the big picture here is growth in intermodal volumes and lower coal volumes. And that has, as you point out, a negative mix impact overall. However, more than offset by pricing at a rate above inflation as we went through. Alan?
Alan H. Shaw - Chief Marketing Officer & Executive Vice President: Yeah. Allison, we are completely focused and committed to disciplined pricing moving forward, reflecting the value of our service product. But we don't anticipate the sharp negative headwinds in fuel surcharge revenue, coal and steel and frac sand and crude oil that we've had in the past. So we're going to focus primarily on growing our service-sensitive business and reflecting the long-term value of that business with our pricing. And we've been able to achieve five consecutive quarters of RPU growth ex-fuel and we believe that will continue.
Allison M. Landry - Credit Suisse Securities (USA) LLC (Broker): Okay, great. And my follow-up question, thinking about the $420 million of savings on the labor line, what are the specific head count expectations that are embedded within that? And could you give us a sense of what you're thinking about what that might imply from a GTM per employee or a carload per employee perspective?
James A. Squires - Chairman, President, and Chief Executive Officer: Sure. Well again, I'll turn it over to Mike to talk about the specifics on the head count, but we're looking for roughly 2,000 fewer positions by 2020 and 1,200 fewer positions and about a 4% decrease in our overall workforce in 2016. So, Mike, you want to get into the specifics there a little bit?
Michael Joseph Wheeler - Senior Vice President-Operations: Yeah. So, it is driven by the 2,000 head count reduction by 2020 as well as aggressive over time reduction by 2020, and we've already started that in 2016 and seen some good headways. And as we've said, that's about a 4% reduction for this year in our head count and we would expect that to translate directly into the gross ton miles per revenue.
Allison M. Landry - Credit Suisse Securities (USA) LLC (Broker): Okay. Thank you.
Operator: Our next question comes from the line of Alex Vecchio with Morgan Stanley. Please proceed with your question.
Alexander Vecchio - Morgan Stanley & Co. LLC: Good morning. Thanks for taking the questions. So, Jim, I realize the forecast for coal to decline at a 1% CAGR is more conservative than some other estimates out there, but naturally a 1% decline over the next five years would suggest that the mix headwind from coal decline from a profitability standpoint would moderate pretty drastically versus what you've experienced over the last few years. So my question is, if coal volumes do end up declining, kind of closer to the mid to high single digits, as they have been over the past few years, do you still believe you'll be able to achieve your OR and EPS targets?
James A. Squires - Chairman, President, and Chief Executive Officer: What I'd liked to do is turn it over to Alan in a minute to give you some of the detail on how we built up the coal volume forecast, which as you point out, we do believe is conservative based on independent experts. But let me just say this about our plan, it is a dynamic flexible plan. If we do not see the growth in revenue because our coal volumes trend worse than we're expected or for whatever the reason, we will push even harder on the cost side. It's a flexible plan, we can dig deeper on the costs if we have to; we are intent on achieving the results we have outlined today.
Alan H. Shaw - Chief Marketing Officer & Executive Vice President: Alex, we know that coal volume will decline in 2016, and that's reflected in most indices. And then what we've done is we have looked at our individual plants, our individual customers, and then anchored that against independent experts. And we have come up with what we believe is a conservative plan going forward. Yes, there is risk; there is no doubt about it. But at gas price levels where they are today, coal-to-gas switching in our service region is effectively saturated. And so we do feel good about our coal forecast going forward; it's more conservative than outside experts, but we will adjust accordingly if we see the market dynamics change.
Alexander Vecchio - Morgan Stanley & Co. LLC: Okay. That's helpful. And then my follow-up. So, you've given a lot more detailed guidance, which is great, and you've spoken a bit more specifically to your expectations for core pricing. I was wondering if maybe you'd be willing to begin disclosing more specifically your same store sale, core pricing metrics on a quarterly basis, as other Class 1s have been doing? And maybe if you could provide what that figure was in the fourth quarter? Thank you.
James A. Squires - Chairman, President, and Chief Executive Officer: Sure. Listen, let me just say this. With the leadership transitions here, everything is on the table, and we are certainly considering changes in a variety of areas, including our disclosure policy. Alan, you want to comment on the same-store sales number in the fourth quarter?
Alan H. Shaw - Chief Marketing Officer & Executive Vice President: It was above rail inflation. And we are going to continue to get improvement in that as we realize the full-year benefit of the contract rate increases that we negotiated with our customers this year. Also with a sharply declined fuel surcharge overhang, we'll see better improvement in RPU throughout the year.
Operator: Our next question comes from the line of Tom Wadewitz with UBS. Please proceed with your question.
Thomas Wadewitz - UBS Securities LLC: Yeah. Good morning. And thank you for the detail on the five-year plan, that's helpful. Wanted to see if you could give me, this is probably for Mike or Jim, what broadly speaking, are some of your assumptions on train length and train starts over the five-year period? I guess, typically we think of train starts is driving costs and head count. And likewise, what you do on train lengths, that's an area that you can drive productivity. So are there any kind of broad thoughts you can provide on how you think those two parameters may move over the five-year period?
James A. Squires - Chairman, President, and Chief Executive Officer: Well, first, train lengths are obviously an important driver of productivity, and fewer starts per train is also an important driver. And Mike, why don't you talk a little bit about the specifics there.
Michael Joseph Wheeler - Senior Vice President-Operations: Yeah. So, on our train length, this last quarter, as well as last year, our train lengths were at our historic highs. And they were at our historic highs at the same time that our service levels were at their historic highs. So we feel pretty good about that going forward. Now, having said that, we continue to tactically look at what are the opportunities to run longer trains, and we do that daily and we got a team looking at that intensely. And we're also looking at strategically long-term, looking at longer trains and what we're doing there is, reviewing our operating plan and we continue to fine tune it to optimize the operating plan and it will allow us to not only run longer trains, but reduce our car miles and reduce handlings, and those go hand in hand with increased efficiency. So, we – while we feel like we're in a good place, we do see opportunity going forward.
Thomas Wadewitz - UBS Securities LLC: I mean, maybe I should ask it a little bit differently. Is – do you have specific targets for change in train lengths that are part of the broader productivity plan? Is there a plan that you improve it 10%, 20% or is that not one of the key drivers in your five-year plan?
James A. Squires - Chairman, President, and Chief Executive Officer: No, it's not one of the ones that we put a specific metric on. We plan to improve it, but we don't have a target for that.
Thomas Wadewitz - UBS Securities LLC: Okay. And then I don't know, if I can get kind of a follow on or a different topic. But is there any implication for a long-term CapEx within the structural changes. If you take out 1,500 miles of track, does that help you get a lower CapEx number in the longer term?
James A. Squires - Chairman, President, and Chief Executive Officer: It does, it does. And that's one of the benefits of reducing the network footprint from the 1,000 miles of rationalization we're looking at this year and fully 1,500 miles by 2020. That does bring your CapEx down with respect to those lines and there were some expense benefit from that as well. And we are also looking at – trying to contain CapEx at a lower level overall than it has been at in the last several years. We pointed out again that we reduced CapEx last year, that was appropriate given the circumstances. This year's capital budget starting out is a double digit slower than last year's and that we'll continue to be flexible with CapEx as market conditions require.
Thomas Wadewitz - UBS Securities LLC: Okay. Thank you for the time.
Operator: Our next question comes from the line of Scott Group with Wolfe Research. Please proceed with your question.
Scott H. Group - Wolfe Research LLC: Hey, thanks. Good morning, everyone. So I wanted to follow up on the head count, because I guess you are talking about a 7% reduction in head count from here. It strikes me though that volumes were down 7% in the fourth quarter and your head count was up 2% while all the other rails had head count reductions in that 7% range. So it feels like 7% head count reduction is kind of just a catch up to what other rails have just done to respond to the weak volumes and if we're thinking about like real productivity savings. Why isn't there like a lot more head count potential here? Because that's where we can get the most confidence and visibility to real margin improvement, and it feels like there should be potential for a lot more and I guess I'm just not sure why we can't see that.
James A. Squires - Chairman, President, and Chief Executive Officer: All right. Well, first let me just – we started at a lower level of head count overall. We built head count somewhat last year to get our service back up to where it needs to be. It's there, and now we can begin to modulate head count down. 1,200 fewer employees through a combination of attrition and furloughs this year would represent a 4% reduction in our workforce overall year-over-year. And we've given you the cost savings we expect from the attrition and the furloughs and other actions on comp and benefits. That's a big piece of the overall $650 million in productivity annualized by 2020 fully $420 million.
Scott H. Group - Wolfe Research LLC: Okay. And then, just on the cash flow just for a minute. When do you think you can get back to kind of the historical 16%, 17% of revenue on CapEx. I guess a follow-up to what Tom was just asking. And then Marta, any thoughts on why you're slowing the buybacks in 2016?
James A. Squires - Chairman, President, and Chief Executive Officer: Well, let's talk about CapEx first and I'll let Marta cover buybacks second. We're targeting about 19% of revenue through the completion of PTC, which takes us through 2018. After that, we intend to bring CapEx down to around 17%. We think that's a level of reinvestment, given other assumptions it generates an adequate return for shareholders, an excellent return for shareholders in fact. Marta, why don't you talk about the buybacks?
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: Okay. In the share repurchases we discussed, we're beginning at a run rate this quarter of $200 million, which would imply right now $800 million for the year, and that's very much in line with what we've done over the last 10 years, we'd averaged about $1 billion. So some years a little bit higher, some years a little bit lower. We finished 2015 at $1.1 billion, so we're comfortable with that level of guidance for now.
James A. Squires - Chairman, President, and Chief Executive Officer: And I do want to point out Scott, our board is very focused on buybacks right now, that's a big part of our strategy, it has been in the past, as we went through. We have kicked out to shareholders fully $15 billion through buybacks and dividends in the past and we will continue to buyback our shares.
Scott H. Group - Wolfe Research LLC: Okay. Thank you guys.
Operator: Our next question comes from the line of John Barnes with RBC Capital Markets. Please proceed with your question.
John Barnes - RBC Capital Markets LLC: Hey, good morning guys. Thanks for the time. I just want to go back to coal for a second, because I think, we're struggling a little bit with the numbers in terms of kind of the growth outlook. I mean, if I assume that 2016 is going to be down something similar to what the other rails are talking about, let's say it's a mid-teens type of decline this year, regardless of whether or not your franchise is less at risk to more switching on natural gas or something like that. You're still implying something like mid single-digit compounded annual growth from like 2017 through 2020. I think that when you look at the change in the Eastern utilities portfolio, whether it's the introduction of more nuclear or what have you, that just seems like a big number, a big target out there for growth, I mean and certainly that's a growth number not stabilization. So can you just talk a little bit more about, how you start to see that upswing, and where this kind of CAGR of down one kind of fits with, something that looks like, it's more up mid-single-digit in the out years?
James A. Squires - Chairman, President, and Chief Executive Officer: We are not looking for growth in golden out years. So, 2016 is another leg down in coal volumes and after that we see stabilization in the coal volumes and I will let Alan return to the specific assumptions that underlie that. But let me just reemphasize that ours is a flexible plan. We know this is a tough environment in which to talk about growth, and that's why we're so focused on cost reductions, on maintaining excellent service, and on safety. If we do those three things, we will have a successful 2016 and we will continue to drive on those three things as hard as we possibly can beyond 2016, and we expect the results to offset any decline in volumes or revenue that we might experience contrary to our expectations.
Alan H. Shaw - Chief Marketing Officer & Executive Vice President: Yeah. We know that much of the coal decline this year is the result of the warm weather, and with coal dispatching behind natural gas, it is much more volatile with weather conditions. We're very clear that our guidance, once stockpiles normalize, is dependent upon normal weather patterns. We also know that the opportunity for coal to gas switching in our specific service region, and particularly in the southeast is muted going forward. But to be clear, we are not looking for growth in our coal franchise. We expect it to decline, we're going to manage it very closely and continue to manage the resources that are applied against it.
John Barnes - RBC Capital Markets LLC: And what assumption have you made for coal shutdowns within the franchise in that forecasted amount?
James A. Squires - Chairman, President, and Chief Executive Officer: Most of the additional natural gas plants that have been announced in the southeast are not targeted at specific NS plants. Up in the PJM, there is more crossover and there is more risk, and we've taken that into account that there is a specific plant in the southeast, that's been taken into account in our franchise too. So it comes in conjunction with looking at the announced natural gas plant additions in the next couple of years and talking to our customers about it. So, we do have some of it in there more predominant in the Northeast.
John Barnes - RBC Capital Markets LLC: Okay. All right. And then, my follow-up question. Thanks for the color. My follow-up is, you talked 1,500 miles of track disposal. I know you guys sell real estate every year. So, you kind of know how to do it, but my question on track disposal going forward is, it seems like a lot of this is going to be stuff that maybe it doesn't have a lot of value left to short-line rail. There is not enough volume originating on that particular track. So, I'm curious. I mean, should we expect lower proceeds from track sales going forward, just because there's less value on them? I mean, are these going to be turned into really nice bike paths or something like that or is there still some value to be had to a short-line? Is there still enough volume originating on that 1,500 miles, if there is some value there?
James A. Squires - Chairman, President, and Chief Executive Officer: I think the way to view this, John, is not as a real estate transaction or a real estate strategy, but as a network optimization strategy. And it's a mechanism by which we can bring down future capital spending associated with these lines as we had said, and also to some extent reduce expenses. And Alan, do you want to elaborate at all on the customer effects of some of this, the short-line potential? Some of this maybe – may be Delta short-line.
Alan H. Shaw - Chief Marketing Officer & Executive Vice President: Some of it will be Delta short-line, so, we can continue to handle the business. And the ultimate goal is to ensure that with a short-line handle, we do not increase the cost to the supply chain.
John Barnes - RBC Capital Markets LLC: Okay. All right. Thanks for your time today.
Operator: Our next question comes from the line of Chris Wetherbee with Citi. Please proceed with your question.
Chris Wetherbee - Citigroup Global Markets, Inc. (Broker): Thanks. Good morning. I wanted to touch on sort of the broad volume outlook for 2016. So, understanding sort of where you guys are thinking about coal, but when you think about the entire book of business, how should we think about that in 2016? It sounds like the first quarter is going to be tougher, but how does it look after that?
James A. Squires - Chairman, President, and Chief Executive Officer: Certainly, it remains a challenging macro environment. Alan will go through the specific assumptions for 2016. But again, let me say, this is why we are so focused on cost savings, on maintaining service and on safety. Those will be the three pillars of our success in 2016. The growth will come; this is a long-range plan, and over the course of five years, we do expect to grow. And we all know how powerful growth and pricing can be for the bottom line in the long run.
Alan H. Shaw - Chief Marketing Officer & Executive Vice President: The largest headwinds that we have right now with respect to near-term volume are, coal inventory levels and retail inventory levels. Once those get worked through, we do see some growth, because we're coming off a year in which we had minimal growth. We have a very strong intermodal franchise, our improved service product is going to direct more of that business back to our lines and our – the domestic sector as we move into the second half of the year, we have a lot of strength in our international franchise that once retail inventory levels are normalized that will pick up, and we have strengthen in our automotive franchise. So, we do have some franchises that have opportunities for growth. We had a record volume in chemicals last year, and we had record volume in intermodal too despite the Triple Crown restructuring. Also note that Triple Crown will have a negative impact on volume comps, particularly for the first three quarters of the year. But we do feel that as we progress through the year, and as we take advantage of our service products and as inventory levels whether in retail or in coal normalize, we're going to start to see significant improvement.
Chris Wetherbee - Citigroup Global Markets, Inc. (Broker): Okay. But you're not predicating that that outlook for 2016 on volume growth, it sound like that?
James A. Squires - Chairman, President, and Chief Executive Officer: No, there is certainly opportunity there, but we're watching it very closely, because there is a lot of uncertainty around commodities and a lot of uncertainty on when, particularly the retail inventory levels get reversed.
Chris Wetherbee - Citigroup Global Markets, Inc. (Broker): Sure, that's helpful. Appreciate that.
James A. Squires - Chairman, President, and Chief Executive Officer: We're actively managing it with operations, to make sure we're sizing, our resources appropriately.
Chris Wetherbee - Citigroup Global Markets, Inc. (Broker): Okay. That's great. And just a quick follow up if I may, just on the fuel surcharge side. Marta thanks for the incremental details that you've been giving us, in terms of fuel surcharge. As you see the WTI program, sort of bottom out here in January and then going forward, how should we think about the headwind to operating profit, you've sort of laid that out in the slide, just kind of curious if there is a view that you can give us for 2016, when you think about that, sort of what's included in terms of either a headwind or sort of neutral impact from the fuel surcharge to profit in 2016? Thanks.
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: Okay. So, as Alan described, in the first quarter, that's the – the first quarter is the one that will have the toughest comp compared to 2015, because recall that the first quarter of 2015 in January, some of those WTI, once we're kicking in. So, we had $163 million of fuel surcharge in the first quarter of 2015. So, year-over-year, the biggest decline that we will see, we expect if the forward curve stays like it is now, will be in the first quarter. Nevertheless, for all of the year, for all of the quarters, we expect to have a much less net operating profit effect, because our fuel expenses will be going down more commensurately with our fuel revenue, if we stay in this oil price environment.
Chris Wetherbee - Citigroup Global Markets, Inc. (Broker): Okay. That's helpful. Thanks for the time guys. Appreciate it.
Operator: Our next question comes from the line of Brandon Oglenski with Barclays. Please proceed with your question.
Brandon Oglenski - Barclays Capital, Inc.: Yeah. Good morning, and thanks for taking my question. So Jim, I know you said at the outset that you don't really want to talk about CP, but I'm getting plenty of emails here from investors that would like to discuss it. So I guess in that context, I just want to respectfully ask, we've heard from these plans from Norfolk over the years that you guys always target peer margins, but we now have Canadian National, Canadian Pacific, Union Pacific all in the low 60%s even cleaned up for the currency benefits of North. And we're still struggling with the coal guidance. I think there was a question earlier about how do you get through negative 1% CAGR when you're guiding 15% down this year? Clearly, 4Q was a pretty challenging year even after you take out the restructuring charges. And I don't think that we would argue that any of those big railroads that are running at a low 60%s OR right now are in some sort of unsustainable or less safe operating condition than they were when they were running back in the 80%s or even 90%s OR. So, with your plan to drive about $600 million, $650 million of productivity improvements in the next five years in CP's plan, which I would argue is backed up by a management team that has demonstrated the ability to do this in a very quick fashion, I think CP's plan is close to $1.2 billion over the same timeframe. So, what is it about your business that you feel CP does not understand that makes shareholders better off with $650 million of improvement versus a low 60%s OR and a $1.2 billion improvement plan?
James A. Squires - Chairman, President, and Chief Executive Officer: So, we've outlined a plan today to get to a sub 65% operating ratio by 2020. And as I said, we won't stop there. There is more we can do. We're going to continue to drive our operating ratio, as low as we possibly can go with it. It's a good plan, it's a balanced plan, it contains a major component of cost cutting and we understand the need for that. That's absolutely critical, it's a flexible plan. If we don't see the growth, we will find additional ways to reduce expenses. It's a specific plan, it's the right plan for our markets, our franchise and our customers.
Brandon Oglenski - Barclays Capital, Inc.: Well, as a follow up then, so are you saying that $1.2 billion of improvement is just nowhere near attainable and the timeframe that they've laid out, can Norfolk ever get to a 60% operating ratio or is that just off the table for your network?
James A. Squires - Chairman, President, and Chief Executive Officer: As I said, 65% is the starting point for us, that's what we've said, we're going to try achieve by 2020. We may be able to go faster, we'll see. After we reach 65%, we're going to continue to drive it lower.
Brandon Oglenski - Barclays Capital, Inc.: Thank you.
Operator: Our next question comes from the line of Matt Troy with Nomura. Please proceed with your question.
Matt Troy - Nomura Securities International, Inc.: Yeah, thanks. I was just wondering, if you could help us with the economics of the Pocahontas Division, now that's being consolidated? Just curious, if you could size the magnitude of the royalties, will your disclosure change with respect to how it's presented and how much of a headwind that might be and the timing of that headwind, as it runs off?
James A. Squires - Chairman, President, and Chief Executive Officer: So, I think Matt, we're talking about two different things here. The division consolidation that Mike went through reflects a strategy to reduced G&A, streamline operations and streamline the organization. The core royalties you referenced, appear in our other income, as part of rental and other income. Marta, maybe you could give us a run rate on that?
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: Yes. As you've mentioned, those have been decreasing of course with the decline in coal prices. So, Matt that will continue to be reported in other income and depending on prices – and depending on coal prices that will continue – perhaps continue to decline. So, that's reflected in our charts, in our book that we put out and they were down $4 million in the fourth quarter and $14 million for the full year.
Matt Troy - Nomura Securities International, Inc.: But the divisional reorganization in and itself has no affect on...
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: I am glad you asked that question, because with both of them having our cooperation that handles the core royalty is being called Pocahontas and the division being called Pocahontas, we don't want any confusion there.
Matt Troy - Nomura Securities International, Inc.: Understood. Thank you. And just as my follow up, you mentioned share repurchases, that's a big part of your plan and you gave us the targeted payout ratio of 33% and the return of $15 billion to shareholders. Just curious, maybe Marta, what are the guard rails in terms of balance sheet leverage or capital structure with respect to credit rating or leverage ratios, you're comfortable pushing up against in order to drive share repurchases over time? Just want to refresh on where you think Norfolk is comfortable with respect to some of those credit metrics? Thank you.
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: Thanks. As you know that share repurchases is just one part of our total capital allocation policy. It is a very important, as Jim mentioned our board is very focused on it. What we are doing is, we are making sure that we stay within our credit ratings band, but we want to make sure, we leverage as much as we can of that, and that's what we have done buying back over – little over 1 billion a year on average over the last 10 years. So, right now our expectation is that we will stay within that band and push as much of our free cash flow into share repurchases combined with the appropriate amount of leverage.
Matt Troy - Nomura Securities International, Inc.: But, just trying to get specifically as we think about modeling, you are willing to lever up more than where you are today? Is there an upper band that you think is acceptable?
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: As our sheet grows and as our profits grow with this five-year plan that Jim has described, we expect to grow our share repurchase program with it.
Matt Troy - Nomura Securities International, Inc.: All right. Thank you.
Operator: Our next question comes from the line of Rob Salmon with Deutsche Bank. Please proceed with your question.
Robert H. Salmon - Deutsche Bank Securities, Inc.: Hey, good morning, and thanks for taking the question. I guess, Jim, as a clarification for your 2016 OR guidance, you guys highlighted a bunch of track mile sales, as well as the Roanoke office. So I would imagine it's going to be sold. Should we be contemplating that there is some? Could you clarify to the extent that gains are incorporated in that sub-70% OR guidance that you're targeting for the full year, because obviously it's a tough volume backdrop, and there'll be some mix headwinds as well, as we lookout to this year?
James A. Squires - Chairman, President, and Chief Executive Officer: So, speaking specifically to real estate sales, gain on real estate sales including any gain we record on sale of the Roanoke office building would not be included in operating income, but would be below the operating income line in other income. So that would have no impact on the operating ratio. And the proceeds from any line sales I think would be rather minimal in conjunction with the restructuring or rationalization of the 1,000 miles we've referred to. There could be some proceeds from that, but again, the main focus of that is reduction in capital spending, and to some extent, expenses going forward.
Robert H. Salmon - Deutsche Bank Securities, Inc.: Understood, and I appreciate that clarification there. I guess, getting back to Tom's earlier question with regard to sidings. In asking it a little bit differently, could you give us a sense of what the siding capacity is today across your different franchises and it what the train length currently stands at?
James A. Squires - Chairman, President, and Chief Executive Officer: Okay. Mike?
Michael Joseph Wheeler - Senior Vice President-Operations: Yeah, sure. Most of our sidings form the railroad are 8,000 feet long. As we build new sidings, and we've built a lot of new sidings over the years, and we've built some up in the 10,000-foot, 11,000-foot, 12,000-foot range, so we've got a lot of siding capacity out there relative to the size of the trains we're running now. Our intermodal trains are running around 6,000 feet on average; a lot of capacity there. And the rest of the overall network is in the 5,000 feet to 6,000 feet, so we have got plenty of capacity on our sidings out there.
Robert H. Salmon - Deutsche Bank Securities, Inc.: Thank you so much.
Operator: Our next question comes from the line of Bascome Majors with Susquehanna. Please proceed with your question.
Bascome Majors - Susquehanna Financial Group LLLP: Yeah, thank you for the time this morning. So when framing your targeted expense reductions, I want to confirm that we should use 2015's GAAP results as a baseline and better understand how we should incorporate what are natural volume driven OpEx fluctuations and general expense inflation to those numbers going forward? So since volume and sensitive cost should be down in 2016, is your $130 million productivity target for the year – is that fully incremental to the cost savings that you naturally see from lower volumes? And maybe longer term, as volumes return to growth per the plan, how should we compare that rise in volume-driven expense and the broader cost inflation you'll see to your longer term target for $650 million in savings over five years?
James A. Squires - Chairman, President, and Chief Executive Officer: Okay. So first, comparisons are to GAAP results in 2015, so the cost savings that we have outlined are in relation to GAAP reported earnings in 2015. And Marta, why don't you take us through the dynamics of the productivity and other elements of the question.
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: Yes, they are compared to GAAP. The $130 million in savings does not include the benefit of the restructuring cost. So if you're looking year-over-year and you're looking at total expenses, you would expect a decline of $130 million plus the $93 million of the restructuring costs that we had. Otherwise, it's all in there, the pluses and the minuses. So I mean if we have growth, if we have volume growth you're exactly right. We would have incremental expenses associated with that volume growth and that would not be in the $130 million.
Bascome Majors - Susquehanna Financial Group LLLP: Okay. Understood. And maybe from a high level, just looking at the guidance to get below 70% OR this year. If I plug the 70% OR into consensus revenues, it looks like something around 10% year-over-year EPS growth on your 2015 GAAP base of about 5% to 10%. Is that the bogey that we should be looking at or is there something underlying maybe consensus revenue is too high or something else that we should be thinking about before using that as kind of our sense of your internal targets here?
James A. Squires - Chairman, President, and Chief Executive Officer: Look, we say sub 65% operate – excuse me, sub 70% operating ratio in 2016 is our goal, and that's what we're working toward through whatever combination of growth or lack thereof, and expense savings. If we're heading into a recession, obviously the degree of difficulty gets that much higher, but we are committed to this goal and we're pushing hard to achieve it.
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: And I will point out too that ,and Alan can elaborate on this, but I would point out too that while we're expecting volume declines in coal, that's not the case for all of our commodity groups.
Alan H. Shaw - Chief Marketing Officer & Executive Vice President: We'll pivot if we need to as well. And if we need to pivot harder on costs we will certainly do that. We're not going to sacrifice our service, but everything else is on the table, we'll cut whatever we need to cut short of hurting service.
Bascome Majors - Susquehanna Financial Group LLLP: I guess just a follow up on that, if volumes do come in, kind of as you expected is something approaching the double-digits on your GAAP earnings base the question for this year? Or is that within the range of possibilities in your view?
James A. Squires - Chairman, President, and Chief Executive Officer: I mean, you can do math on the EPS effect of driving the operating ratio below 70%.
Bascome Majors - Susquehanna Financial Group LLLP: All right. Thank you for the time.
Operator: Our next question comes from the line of Jason Seidl with Cowen. Please proceed with your question.
Jason H. Seidl - Cowen & Co. LLC: Thank you operator and good morning everyone. First question has to do with your CapEx going forward. Obviously with shutting down some of your lines that you had with coal and looking at the shutdown, I think, what did you say, you have 1,500 miles of track, rearranging some of your locomotive needs and car types, where is the new mix going to be? Is the mix going to change in terms of what you're investing in as we look in Norfolk Southern in 2020 versus 2015?
James A. Squires - Chairman, President, and Chief Executive Officer: Well by 2020, we will be done with PTC, and so you will see that roll out. You'll see more focus on core investments in our core network; that will certainly be part of the equation all the way out to 2020. We will continue to invest in locomotives and equipment and other structures and other critical aspects of the infrastructure. So other than the absence of PTC, no major change in the mix of our investments other than perhaps greater concentration on core lines.
Jason H. Seidl - Cowen & Co. LLC: Okay. That's a good clarification. And, Marta, just to get some clarification for 2017 kind of in relation to everyone trying to pinpoint an EPS number for you, you talked about your tax rate dropping down. It sounded like there were several items that hit it, but it sounded like some of these items might be continuing into 2016 here. What should we look at in terms of your tax rate for the year?
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: Yes, you're correct about that. The Tax Extenders Act also extended the credits already for this year. So we would expect – in prior years, we've guided to an effective tax rate about 37.5%, but for 2016 we think it will be more like 37% even.
Jason H. Seidl - Cowen & Co. LLC: 37% even? Okay, thank you so much for the time as always.
Operator: Our next question comes from line of Ken Hoexter with Bank of America Merrill Lynch. Please proceed with your question.
Kenneth Scott Hoexter - Bank of America Merrill Lynch: Okay. Good morning, Jim, Marta, Mike and Alan. If we look back at the plan on page eight, you see a lot of revenue growth, and I just want to understand in this slower growth market, you're expecting pricing to scale up to 2.5% from zero over the last few years. Your volume growth to accelerate – and I don't know – it says 2015 to 2020, so I don't know if you're counting 2015 and 2016 within that CAGR, which would be a pretty big upside for 2017 through 2020. But does that set up for trouble, I guess more importantly how much of the 65% is built on revenue top-line versus the costs that you've laid out?
James A. Squires - Chairman, President, and Chief Executive Officer: In the plan, revenue growth is an important driver of operating ratio improvement and bottom line improvement as well. And right now it's a difficult environment in which to pitch growth, we understand that. And that's why we're so focused on cost savings, right now. Cost savings, keeping our service at the current level and running a safe railroad are our top priorities in 2016 and we will do what we need to do to achieve the results. That's the other thing to appreciate about the plan; it's a flexible plan, a dynamic plan. If we need to pivot to a different strategy, we certainly can and will.
Kenneth Scott Hoexter - Bank of America Merrill Lynch: Okay. But is there a limit of how much in that 65% is tied to the top line versus your cost? I'm just trying to understand at least for the base case that you've set so as things change, we can kind of understand what shifts need to be taken on maybe more aggressive cost-cutting? Is the plan based half on top line, half on costs, or as it is right now?
James A. Squires - Chairman, President, and Chief Executive Officer: There are elements of both in the plan. It's a balanced plan. We think it's the right plan for our markets, our customers and our franchise. It does assume some volume growth, and pricing as well. Now, Alan feels confident about the pricing potential here. The volume growth is obviously a bit more of a wildcard. We think we have the opportunity to grow volume over this five-year period. Pricing coupled with even modest growth is an important driver of bottom line performance for us, and everybody else in the industry. If we have to pivot to a different strategy and take the expenses down even more aggressively, we will.
Kenneth Scott Hoexter - Bank of America Merrill Lynch: Thanks. And if I give you follow-up on Triple Crown, Alan, maybe just a little bit on volumes. Why did the Triple Crown, when you shut it down, volumes not turn back to intermodal? Did it lose to truck or are they still in transition? And then, I guess ultimately, why was it eliminated? I presume because it wasn't additive to margins. So, just want to understand that shift in the business, why you weren't able to recapture it in kind of different ways, whether it's through third-party or what have you?
Alan H. Shaw - Chief Marketing Officer & Executive Vice President: Ken, that's a good question. We've worked with our channel partners to get as much of it back as possible. But almost by definition, the Triple Crown franchise was set up not to compete with our conventional intermodal franchise. So there's not a lot of overlap. It's not yet fully defined how much we'll move back into our intermodal network. And frankly, Ken, we're seeing some move into our merchandise network too, which once again underscores the benefit of our improved service product that our merchandise network can compete for Triple Crown business.
James A. Squires - Chairman, President, and Chief Executive Officer: Remember...
Kenneth Scott Hoexter - Bank of America Merrill Lynch: So it's still on transition, is what you are saying? Because it seems like a lot of obviously that opportunity – was it lost again to truck or is it still moving around?
Alan H. Shaw - Chief Marketing Officer & Executive Vice President: Ken, most of it will ultimately be lost to truck.
Kenneth Scott Hoexter - Bank of America Merrill Lynch: Okay.
Alan H. Shaw - Chief Marketing Officer & Executive Vice President: Because our conventional network does not run in a lot of the lanes that Triple Crown ran in.
James A. Squires - Chairman, President, and Chief Executive Officer: The important takeaway here though is, as we have said, despite the volume decline, we expect the restructuring to be accretive to earnings modestly.
Kenneth Scott Hoexter - Bank of America Merrill Lynch: Okay. Helpful. Thank you very much for the time. I appreciate it.
Operator: Our next question comes from the line of Justin Long with Stephens. Please proceed with your question.
Justin Long - Stephens, Inc.: Thanks, and good morning. I wanted to just follow-up on the 2016 volume question to be clear on that front. Is your guidance for a sub-70% OR assuming that volumes are down this year? And if so, could you talk about the magnitude of the volume decline you're expecting?
James A. Squires - Chairman, President, and Chief Executive Officer: The volumes are currently in play right now and it's a tough start to the year, no doubt about it. If we're heading into a recession, this is going to be a tough slog for everybody. We will pivot to additional cost cutting if we have to, we – the sub-70% operating ratio is our goal and we're going to do whatever we possibly can short of going into recession and that makes life difficult for all of us, for sure. But, sub-70% is our goal, we are working hard to achieve it through a combination of expense reductions and whatever volume and pricing increases we can manage.
Justin Long - Stephens, Inc.: Okay. Got it. And, maybe to just follow-up on the OR target for 2016. So, you highlighted in 2015, the OR was 71.7%, when you exclude the impact from Roanoke and Triple Crown, is there any way to frame up how much of the improvement, half of that base, you expect in 2016 just from the strategic changes you've made if you total up the impact from Roanoke, Triple Crown and some of the other changes in the coal network?
James A. Squires - Chairman, President, and Chief Executive Officer: So again, remember, we're comparing to GAAP results including the restructuring charges in 2015. That gives you a head start on lower expenses right there in 2016, but that doesn't factor in the $130 million in productivity savings we're looking for.
Justin Long - Stephens, Inc.: Okay. And one last quick one on that. Marta, sorry if I missed it, but D&A obviously has taken a step up. What's your expectation for D&A this year?
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: Pardon me. What did you say?
Justin Long - Stephens, Inc.: Depreciation and amortization.
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: Depreciation.
James A. Squires - Chairman, President, and Chief Executive Officer: Yeah. That was up in part, because of the Triple Crown restructuring.
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: Yes. Yes. So, depreciation, when you exclude the restructuring charge, was up $10 million in the fourth quarter. And so, we would expect a similar amount in each quarter – to increase it in each quarter in 2016.
Justin Long - Stephens, Inc.: Okay. Very helpful. Thanks for the time.
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: Thank you.
Operator: Our next question comes from the line of Cherilyn Radbourne with TD Securities. Please proceed with your question.
Cherilyn Radbourne - TD Securities, Inc.: Thanks very much, and good morning. So, your service metrics improved quite significantly in Q4, but it looks like a lot of that was pretty backend loaded. So, from a cost perspective, even though your T&E overtime was down, and your recrews were down. It would seem like you wouldn't have realized that full benefit in Q4. I was just wondering if you could help us to think about that particular issue?
James A. Squires - Chairman, President, and Chief Executive Officer: That's true. That's true. We did not see the full benefit of the service improvements in terms of expense reductions in Q4. Mike, talk a little bit about the trend and what we expect in the first quarter.
Michael Joseph Wheeler - Senior Vice President-Operations: Yeah. If you look at the service metrics through the quarter, they did improve each month through the quarter and it was near the end of the quarter that we got back to our historic highs, which is what we're currently operating at. And that's why we feel like the productivity savings we've got going forward are going to be very, very achievable, because we did get to that level now.
Cherilyn Radbourne - TD Securities, Inc.: So, do you happen to have what T&E overtime and recrews would have looked like year-over-year in December, as an example?
James A. Squires - Chairman, President, and Chief Executive Officer: Hang on just a second.
Michael Joseph Wheeler - Senior Vice President-Operations: So, what's the question?
James A. Squires - Chairman, President, and Chief Executive Officer: What did it look like in December to give us a run-rate for first quarter?
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: Just for T&E. I gave the whole $13 million for the entire quarter, Mike, was the reduction in overtime. And so, what we're saying is that occurred disproportionately.
James A. Squires - Chairman, President, and Chief Executive Officer: Right, right.
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: In December, so.
James A. Squires - Chairman, President, and Chief Executive Officer: Right, right, correct. We don't have that broken out just by December.
Cherilyn Radbourne - TD Securities, Inc.: Okay, that's fine. But it was back-end loaded?
James A. Squires - Chairman, President, and Chief Executive Officer: Correct. Yeah, it was back-end loaded as the improvements happen sequentially each month through the quarter.
Cherilyn Radbourne - TD Securities, Inc.: Right, that's all my questions. Thank you.
Operator: Our next question comes from the line of John Larkin with Stifel. Please proceed with your question.
John G. Larkin - Stifel, Nicolaus & Co., Inc.: Hi, good morning, everybody. And thanks for taking my question. Just wanted to dive a little more deeply into the rationalization of the coal network, which I guess will net 1,000 fewer truck miles this year and 1,500 in total through 2020. Are there any regulatory hurdles that have to be negotiated through here especially this year, as you're talking about taking so many miles out of the system, particularly if there is an abandonment that is required, given that maybe some of these lines are going to be attractive to short run or regional railroads?
James A. Squires - Chairman, President, and Chief Executive Officer: First the 1,000 miles we are targeting in 2016 and the 1,500 miles by 2020 are not limited to the coal network, that would be across the entire expanse of our network. Now a lot of that will be in the coal fields for sure. Second in general, these line rationalizations would not require regulatory approval, because they will not be full-scale abandonments.
John G. Larkin - Stifel, Nicolaus & Co., Inc.: Okay. Thank you. And then I think you called out the continuing program to convert DC locomotives over to AC locomotives. Could you give us a sense for, how many locomotives are involved in that program? And what the savings per locomotives would be relative to purchasing new AC locomotives?
James A. Squires - Chairman, President, and Chief Executive Officer: It's an important program, very important part of our long-term capital strategy for locomotives. Mike?
Michael Joseph Wheeler - Senior Vice President-Operations: Yeah, so if you kind of look at the run rate, you have to look at it pretty far out, because we've got about 1,200 of these Dash 9 locomotives that are starting to hit the age, where you got to do something with them. So we'll be doing these 1,200 locomotives over the next 10, 10-plus years. And the cost to rebuild is about half the cost of a new locomotive and we get a great reliable locomotive with increased tractive effort. So we're pretty excited. And the early indications are really, really positive on the test results.
John G. Larkin - Stifel, Nicolaus & Co., Inc.: So order of magnitude on the savings per locomotives maybe in the neighborhood of a $1 million, $1.5 million somewhere in that range?
James A. Squires - Chairman, President, and Chief Executive Officer: Capital versus buying new?
John G. Larkin - Stifel, Nicolaus & Co., Inc.: Yes.
James A. Squires - Chairman, President, and Chief Executive Officer: Yeah, that's probably about, right. Yeah.
John G. Larkin - Stifel, Nicolaus & Co., Inc.: Thank you very much.
Operator: Our next question comes from the line of Jeff Kauffman with Buckingham Research. Please proceed with your question. Mr. Kauffman, your line is live.
Jeff A. Kauffman - The Buckingham Research Group, Inc.: Thank you. Thank you very much. Sorry, I had you on mute. Most of my questions at this point have been answered, but let me come back to Marta with a detailed question. When you're talking $2.1 billion of CapEx, that's a gross CapEx number right, not a net CapEx number?
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: That's correct. That's all of our capital for 2016 and the components are in that pie that was in one of my slides.
Jeff A. Kauffman - The Buckingham Research Group, Inc.: Okay. I saw the slide, I just want to make sure I was counting it right. And that's it, all my other questions have been answered. Good luck. Thank you.
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: Thank you.
Operator: Our next question comes from the line of David Vernon with Bernstein Investment Research. Please proceed with your question.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: Hey good morning. Alan, just a question for you on the fuel surcharge program. It says you're – here on the slide deck that you're shifting from WTI to diesel. I guess the first question is, are you expecting to get a 100% of the fuel revenue that you lost through these new fuel programs or will we also be seeing some of that recovery in the lost fuel revenue in core price?
James A. Squires - Chairman, President, and Chief Executive Officer: We're going to see much of the recovery in core price, because new fuel surcharge programs are paying pretty low also and as we compete with modal competition, their fuel surcharge programs are low too. So, we're focused primarily on price. We do not want to give up price to move to an on-highway diesel fuel surcharge program, but we are making progress in that arena.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: And as far as kind of the progress you are making like is it the number of years to get that lost fuel revenue back as core price? Is this like a three-year, five-year, one-year, like how long do you think this is going to take to kind of reclaim some of that lost value that you had from the design of the surcharge program?
James A. Squires - Chairman, President, and Chief Executive Officer: Yeah David, it's a multiyear program for us, because our contracts average a term in excess of three plus years. So, that's one hurdle to getting it done immediately. The other hurdle is the volatility in the commodity prices. And our – once again, our commitment to focusing on price and not given up pricing just to move to another fuel surcharge program that may also be out of the money.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: Okay. And then, Marta, maybe just as a quick follow-up. The $200 million a quarter or so that you're going to do through buybacks, are you planning to add more leverage this year or is this all going to come organically from operations?
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: We'll add leverage in keeping with the size of our balance sheet. I mean, you can see if you look over our past few years of our balance sheet, you can see that we're borrowing up to about 2.5 times EBITDA. So, we're going to keep our balance sheet strong, keep within our credit ratings band. So, it will be a mix of using the cash that we have on hand, the profits from operations and leverage.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: Okay. So, we should expect some added leverage this year then?
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: Yeah.
J. David Scott Vernon - Sanford C. Bernstein & Co. LLC: Okay. Thank you.
Operator: Our next question comes from the line of Tyler Brown with Raymond James. Please proceed with your question.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Hey, good morning. Hey, Marta, just real quick on the CapEx spend wheel in the deck. Can you guys split out the $2.1 billion between growth and maintenance CapEx?
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: Yes. We can. It's basically in line with what as Jim said was not a huge change from our past strategy. So, if you – if you pull out PTC, which you could see...
Patrick Tyler Brown - Raymond James & Associates, Inc.: Right.
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: ... there is about $246 million; the remainder is about two-thirds, one-third core and growth.
Patrick Tyler Brown - Raymond James & Associates, Inc.: Okay. Perfect. And then, I'm curious. So, why does that 17% of sales, feel like the right spend number by 2020, I mean you've got PTC falling off, you're going to have 1,500 miles of mainline that will be rationalize, service creates latent capacity, all the heavy lifting on intermodal has long been done by that point and your loco plans really focus more on rebuild. So I mean why wouldn't that number potentially be a lot lower than 2017. And I guess I just want to be comfortable that you and the Board are really focused on maximizing free cash flow and not necessarily OR or EPS?
James A. Squires - Chairman, President, and Chief Executive Officer: Of course. Of course, we're very focused on free cash flow and free cash flow equals cash from operation minus capital spending. So from that standpoint, lower capital spending is better. But we do certainly have a lot of replacement needs going forward. And it's a very asset intensive business we're in here. And we expect to continue to aggress to invest appropriately prudently, but responsibly to keep that investment in great shape for our customers.
Patrick Tyler Brown - Raymond James & Associates, Inc.: So real quickly to that point though, I mean you're spending call it, $600 million for growth this year. So is that about how much capital you need to spend to simply grow the business 2% to 3%?
James A. Squires - Chairman, President, and Chief Executive Officer: Well I think, by 2020 the growth capital starts to moderate and probably before then, in fact. As you know, we have built out a best-in-class intermodal terminal network, we're in the final stages of completing that terminal network, that takes some of the pressure off the growth part of CapEx. It's conceivable, we could bring CapEx down further that certainly would be healthy from the standpoint of free cash flow, but we also want to make sure that we are investing responsibly for a safe and efficient operation.
Marta R. Stewart - Chief Financial Officer & Executive Vice President Finance: Yes. And I think you should consider that 17% to be just a general guideline. And not a – not to exceed sort of thing, not (96:20).
Patrick Tyler Brown - Raymond James & Associates, Inc.: Okay. Perfect. Thank you guys.
Operator: Our next question comes from the line of Cleo Zagrean with Macquarie. Please proceed with your question.
Cleo Zagrean - Macquarie Capital (USA), Inc.: Good morning, and thank you for your time. My first question is about the flexibility of your five year cost reduction plan. Where is the high flexibility you see? Please help us understand where is the highest opportunity for cutting costs like you said without affecting services. Maybe by highlighting, where do you think your network offers more opportunity versus peers and then in case demand is lower, what kind of pivoting do you have in mind? Thank you.
James A. Squires - Chairman, President, and Chief Executive Officer: So, we went through the categories of cost savings. We're targeting in the $650 million. Labor is the biggest contributor and then, reduce fuel consumption in the car fleet and locomotive maintenance. Additional cost savings would come from all of the above. We would be seeking to call each of those cost levers even harder, if we have to. And we would be seeking additional cost savings as well through adjustment of our network in kind of long-term down volume scenario.
Cleo Zagrean - Macquarie Capital (USA), Inc.: Appreciate that. And then, my follow up relates to intermodal. This quarter, we saw pricing down about 2% ex-fuel. Can you help us understand what drove that, was it new business, was it renewals with existing customers, some mix impact? And then, if you could share with us your outlook for present volume growth this year for domestic and international, I would really appreciate that. Thank you.
James A. Squires - Chairman, President, and Chief Executive Officer: Alan?
Alan H. Shaw - Chief Marketing Officer & Executive Vice President: Hey, Cleo. The reason why we saw the decline in pricing or RPU ex-fuel for intermodal in the fourth quarter was the Triple Crown restructuring. If you strip that out, RPU ex-fuel for intermodal was actually up 4%. Reflective of the pricing actions that we've taken throughout the year. Our customers are committed in the intermodal network to long-term growth and they understand that we need to be able to invest in their – in the network to accommodate the growth. And so we're taking a long-term view of this. We're accelerating pricing across all markets, as we push to a disciplined market based pricing approach. Intermodal will be taxed in the first half of the year, due to the Triple Crown restructuring, but as we bring back more domestic business with our approved service product and continue to benefit from shifts to East Coast ports. We expect volumes in our intermodal franchise to improve throughout the year.
Cleo Zagrean - Macquarie Capital (USA), Inc.: Thank you very much.
Operator: Thank you. Our final question will come from the line of Ben Hartford with Baird. Please proceed with your question.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Thanks for fitting me in here. Take a look at that, that five year outlook for intermodal, the 5% annualized growth. I'm assuming that domestic intermodal you're expecting to exceed international. One, I want to confirm that. And then, two, if that's the case, kind of implied upper single digit annualized domestic intermodal volume growth going forward. I mean is it safe to assume that your outlook – your intermediate term outlook for intermodal domestic, intermodal really hasn't materially changed, despite the fact that crude now is close to $30 as opposed to $100 about a year ago. Any perspective on that, that'd be helpful. Thank you.
James A. Squires - Chairman, President, and Chief Executive Officer: Compared to the compound annual growth rate for our intermodal franchise in last five years, we actually do see a slowing of growth. Alan give us a little color on that.
Alan H. Shaw - Chief Marketing Officer & Executive Vice President: Yeah, Ben. Frankly, it's consistent with the rest of our five-year plan, it's conservative. It is less than what we've had in the past, but it's a number at which we can continue to push price and continue to encourage additional business on our lines, as trucking regulations are implemented in the last half of 2017, it's going to tighten capacity in 2016. And so that will be a spark for domestic intermodal growth. And we've talked frequently about the strength of our international franchise, and a continued shift mix from West Coast to East Coast ports, and our strategic alignment with shipping partners who are adding capacity to the East Coast.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Okay. So, in that 5% outlook, do you have assumed domestic intermodal volume growth exceeding international?
James A. Squires - Chairman, President, and Chief Executive Officer: It approximates, and so we feel like there is a level of conservatism in our plan.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Okay, great. Thank you.
Operator: Thank you. We have reached the end of the question-and-answer session. Mr. Squires, I would now like to turn the floor back over to you for concluding comments.
James A. Squires - Chairman, President, and Chief Executive Officer: Thank you all for questions today, and we look forward to speaking with you next quarter.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.